Operator: Good day, ladies and gentlemen, and welcome to the Discovery Third Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Andrew Slabin, Vice President (sic) [Executive Vice President] (0:25) of Global Investor Strategy. You may begin.
Andrew T. Slabin: Good morning, everyone. Thank you for joining us for Discovery's third quarter 2018 earnings call. Joining me today are David Zaslav, our President and Chief Executive Officer; and Gunnar Wiedenfels, our Chief Financial Officer. You should have received our earnings release, but, if not, feel free to access it on our website at ir.corporate.Discovery.com. On today's call, we will begin with some opening comments from David and Gunnar and then we will open up the call for your questions. Please try to keep to one question, so we can accommodate as many as possible. Before we start, I would like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events and may involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For information on important factors that could affect these expectations, please see our Annual Report for the year ended December 31, 2017, and our subsequent filings made with the U.S. Securities and Exchange Commission. And with that, I will turn the call over to David.
David M. Zaslav: Good morning, everyone, and thank you for joining us on today's call. Our business is strong and we feel just great about what we have accomplished since we closed the Scripps merger. And we're proud of the results we have delivered this quarter. We really like our hand and our strategy. Discovery is a true global IP company, with real differentiation from the rest of the industry, and powerful operating momentum around the world. We remain optimistic about the road ahead, as we drive forward with our plan to transform our global business. It was eight months ago that we closed on Scripps, and it has exceeded our expectations on every front. We are delivering strong cost synergies, enhancing our global suite of content and IP and accelerating the process of broadening and refining our product offerings. In doing so, we continue to maximize value from the linear ecosystem, while continuing to attack opportunities to drive our IP across the global direct-to-consumer landscape. Discovery is making strong headway on all these strategic areas, much of which is reflected in our operating results this quarter, which Gunnar will review in more detail shortly. Let me highlight a few operating metrics, where we are very proud of the company's achievement and progress this quarter. First, our strong 5% domestic advertising growth, marked by accelerating performance at both the legacy Discovery and Scripps Networks on the back of improved ratings, healthy overall pricing, nice growth on our TV Everywhere apps and strong execution by the sales and network teams. Secondly, our heightened focus on improving operating efficiency, fueled by our transformation efforts, drove impressive total company margin improvement of 500 basis points to 40%. This contributed to substantial free cash flow generation at over $900 million this quarter and facilitated us reducing our net debt by just about $1 billion this quarter and helped us reduce our net leverage significantly faster than originally projected at close. Additionally, I'd like to focus this morning on a few key areas in which we are establishing differentiated growth performance relative to our peers and where we are gaining further traction from our strategic pivot. At Discovery's domestic networks, we are outperforming the marketplace and are currently bucking some of the trends we are seeing across the industry. Our ratings momentum has been an outlier in an industry where both cable and broadcast performance has been increasingly soft. For the third quarter, ratings and delivery across our core networks were up 1% in L3, (4:55) well outperforming both the cable and broadcast markets. Discovery is the number two TV company in America, including both broadcast and cable, with NBCUniversal being the only company in the U.S. that reaches more people and is larger. Within the pay-TV universe, we deliver a near-20% share of viewership among all viewers and nearly a quarter share among women. That strong position in delivery provides a distinct advantage and an opportunity on the sales and marketing side to promote our content across a much larger audience base. This past quarter, we had three of the top five pay-TV channels for women in both prime time and total day and achieved a 23% share of the female audience. On any given night, we are getting between a 3 and a 4 rating in women 25 to 54 across the portfolio, and typically exceeding a 4 rating on Sunday night. And across the pay-TV universe alone, we are achieving between a 5.4 and a 7.2 rating in women 25 to 54 across the portfolio. Putting some context around this, premium IP in the U.S. today is incredibly scarce, with perhaps the NFL as the very top of the pyramid with respect to aggregating both male and female demos in large scale. And advertisers pay a significant premium for this IP. So, if you're an advertiser buying the NFL to reach women, you could reach the same number by buying one spot, a roadblock, across our top women's networks, HGTV, Food, TLC, ID and OWN. It's like a women's super-pack. And I believe we can intercept some of those huge CPM, NFL or broadcast dollars, which would be a big win for advertisers, because it would be at a much lower CPM, a big increase for us and a huge reach. And it's something that nobody else can do because we have this ability now to aggregate so many compelling and strong female networks. It's one of the wow reveals of Discovery and Scripps coming together. One of the key methods by which we have continued to strengthen our ratings portfolio is by cross-promoting across our brands, having invested in data science and advanced analytics to improve our marketing efficiency. With the inclusion of the Scripps brands, we have increased our marketing reach by over 50%. And through effective use of day and date data-driven audience targeting, we are increasing sampling across our viewer base. And we're able to target and drive audiences to more of our own content. And we also are now layering in the targeted platform of our 18 GO TV Everywhere apps, one for each one of our channels, in which we can take the pulse of what people are watching in real-time, increasing our valuable first-party data. We are just beginning to refine our capabilities in this area and what we ultimately may be able to achieve across this truly differentiated platform. Internationally, we continue to see some very strong traction from our content sharing and monetization strategy, where we now have identified nearly 3,300 total hours from 50 unique shows and 150 individual seasons of Scripps content to use across the Discovery platform. And we will continue to refine how to best optimize this treasure trove of content across every global region and platform and across linear, digital and OTT. Turning to our distribution strategy, we've made substantial progress in reaching consumers across critical over-the-top platforms in the U.S. We look forward to having our networks launch on Sling later this year. And we are excited about our new carriage deal with Hulu, where we just announced last week that in addition to the eight Discovery networks on Hulu's Live TV, we will have nine additional brands available to subscribers later this year, bringing our total to 17, inclusive of all tiers. Having also recently launched on AT&T Watch with a robust eight of its 30-plus total channels, Discovery is as well-positioned across the OTT ecosystem as any programmer or media company. The message here is clear and no mystery. We pride ourselves on being great economic and strategic partners to our distributors. All of our deals provide fair value and incremental financial value to Discovery and nicely align our economic interests to the future growth of subscribers to these platforms. As we look at the deployment of skinny bundles around the world, it does take a little while to figure out the right pricing and the right marketing, but in almost every country, skinny bundles have grown and have been a big growth driver. We expect the same here in the U.S., that, over the next few years, the skinny bundles will provide real value. And our positioning will provide extra value to us, as we are on, in a very compelling way, almost every one of those platforms. We remain steadfast in our goal to reach viewers across every key distribution platform and bundle offering in the ecosystem, both in the U.S. and around the (10:53) world. We also continue to attack our direct-to-consumer opportunities across an expanding number of initiatives and a broader global canvas. With the recent onboarding of Peter Faricy from Amazon, who ran Marketplace, we gain an experienced leader whose background in building platforms, tech stacks and direct-to-consumer products and unique insights into how to acquire, cultivate and nurture relationships with users, gives us confidence that we are building the right type of team with the right skill set to drive this critical priority going forward. Our strategy here is differentiated from most other media companies. At our core is a great collection of fully controlled, quality and trusted programming, ranging from immersive storytelling to functional lifestyle content to long-tail and headline sports, the Olympics in Europe, golf in every country in the world outside the U.S. And behind this desirable portfolio, we are leaning heavily into OTT with some of our most passionate superfan brands and verticals such as: Motor Trend, where our subscriber base has more than doubled since we merged one year ago and where we own a rich ecosystem of online and offline event entertainment and content for auto fans; Eurosport, which is finding real success in its more focused seasons pass model; Dplay, our direct-to-consumer product in Europe, which is gaining traction as an SVOD service in Scandinavian countries with original commissions; our GO TV Everywhere apps, we now have one for every one of our channels, where we are augmenting and differentiating our linear bundle offering, establishing a great foothold in targeting a younger demo of viewers and it's beginning to really work; our Golf TV product with the PGA Tour, where we will go live with a global offering early in 2019, with a broader phasing in over the next few years until we are fully global outside the U.S. We are more enthusiastic than ever about our partnership with the PGA Tour and the value of this superfan must-have content and the opportunity to build the global home for golf across all platforms with our Golf TV streaming service. We're excited to announce today our first Golf TV broadcast partner, J:COM, which will allow golf fans in Japan to enjoy extensive live action on J:COM's existing Golf Network linear channel. This is a real win for the passionate and growing community of golf fans in Japan, promising to deliver even more of golf's biggest moments all year round, available however fans want to watch. We have ambitious plans to work together to develop a broader digital ecosystem, leveraging Golf TV's invigorated comprehensive content offering and J:COM's Golf Network Plus App. Like the competitive bidding environment that took place with Sky, we watch industry M&A closely and how it reinforces our evolving global strategy. And we have made a lot of progress through our transformation to continue to reinforce that strategic position. Looking ahead from here, we see a stronger, more powerful and more differentiated Discovery and one that is continually adapting to the changing needs and affinities of our global fans. And while many in media continue to chase the scripted ball, Discovery is leaning into real-life entertainment on all screens and services. We have global scale, strong free cash flow and now even greater depth in content and brands to launch more superfan services on more platforms. And we are appropriately investing against this opportunity set in people, resources and technology around the world to facilitate this strategic pivot. We look forward to providing you with additional progress reports as we move forward. To discuss the financial impact of all of this and our third quarter results, I'd like to turn it over to Gunnar.
Gunnar Wiedenfels: Thanks, David, and thank you, everyone, for joining us today. As David noted, I am extremely pleased to present a very strong set of financials for the third quarter. We have met or exceeded all of our third quarter guidance metrics. Let me point out four highlights before we delve into the details. First, 18% constant currency pro forma adjusted OIBDA growth, which, second, is the result of a substantial 500 basis points of margin improvement as we continue to benefit from the integration and transformation of our newly-combined company. Third, free cash flow of more than $900 million in the third quarter underpins the great ability of the new Discovery to generate cash. Fourth, we are seeing real traction in our U.S. Network portfolio, as evidenced by 5% domestic ad revenue growth. Indeed, as I've stated before, the further we proceed in executing our strategic plan, the better we feel about the opportunities ahead of us. Before I move on, be reminded that my commentary today will again focus on our pro forma results, which include the operations of Scripps as well as OWN and Motor Trend as if all have been owned since the beginning of 2017, and will be in constant currency terms for the international and total company commentary, unless otherwise stated. Please refer to our earnings release filed earlier this morning for all of the detailed cuts of our third quarter results. Starting with total company, third quarter total company revenues grew 2%, driven by 4% domestic growth and 2% international growth and partly offset by a 91% revenue decline for Education and Other due to the April sale of our Education division. Adjusted OIBDA grew at a rate of 18%, well above revenue growth, as total company costs were again down year-over-year. We achieved a healthy 6% reduction in costs, despite an increase in digital investments, as we continue to realize significant synergies from transforming the new Discovery with 13% adjusted OIBDA growth in the U.S. and 27% adjusted OIBDA growth in International. Now, let's look at each operating unit, starting with the U.S. segment. Third quarter U.S. total revenues were up 4%, with 5% advertising growth and flat affiliate revenues. This was an outstanding quarter for our U.S. ad sales. The better than expected 5% growth was due to a combination of solid ratings, strong pricing, strong demand driving additional inventory, and continued monetization and integration of our GO platform and digital offerings. Again, as David noted, we are benefiting from overlaying smart cross-promotional activity against an increasingly large footprint, which, on certain evenings, is delivering a near 30% share of women watching television. Our flat distribution growth was primarily due to increases in affiliate rates, partly offset by declines in subscribers, and much lower revenues from SVOD against the sale of the bulk of Manhunt to Netflix in the third quarter of last year. Delving further into the drivers of U.S. affiliate and looking at pro forma sub trends, subscribers for our combined portfolio were again down 5%, due to continued high-single to low-double-digit losses at our smaller networks, primarily due to the continued core shaving. But more importantly, subscriber declines for our combined fully distributed networks improved to down 2%, an improvement versus the down 3% in prior quarters, primarily due to virtual MVPD subscriber growth. Pro forma third quarter U.S. adjusted OIBDA increased 13%, as cost of revenues and SG&A were both down mid-single digits as we really start to reap the benefits of the transformation, leading to 54% domestic margins or 500 basis points of year-over-year margin expansion. We are very pleased with this result in our second full quarter after closing the Scripps transaction. Turning now to the International segment, pro forma third quarter total International revenues were up 2%, driven by 2% advertising growth and 3% distribution growth. The 2% ad growth was driven by higher revenues overall in Europe, by far the largest ad region, primarily due to the strength at TVN in Poland, partly offset by weakness in the UK and Italy due to weaker channel performance, and declines in Norway and Denmark due primarily to continued declines in PUD levels. (19:51) In addition, we saw modest declines in both Latin America, due to overall market softness, and in Asia, due to weaker pricing. Affiliate growth of 3% was driven by growth in Europe and Latin America. In Europe, we had another quarter of solid growth, driven again by high ad digital revenues from the Eurosport Player. In Latin America, we also saw healthy growth, primarily due to higher pricing across most regions. Growth in Europe and Latin America was again offset by declines in Asia, where the trend seen in previous quarters continues. As we had noted, affiliate growth would have been in the mid-single-digit range before the impact of the new ProSieben joint venture. Turning to the cost side, pro forma operating costs were down 5% in the third quarter, as cost of revenue were down 7% and SG&A was flat despite continued P&L investments in our digital businesses. As a result, adjusted OIBDA growth was up significantly at 27%, with margins expanding 600 basis points to 28%, as we benefited from a combination of solid underlying growth due to strong cost management, accelerating transformation savings and a reduction in marketing and production costs related to the Bundesliga in Germany, which are now incurred by our new ProSieben JV, partially offset by P&L investments back into digital and mobile growth areas, which is the only reason why SG&A did not decline for the DNI segment. If we exclude the ramp-up in those digital businesses internationally, overall SG&A was down 3%. Having reviewed the highlights of our third quarter results, let me now provide some color on certain forward-looking trends. As usual, I will specifically outline our fourth quarter top-line expectations for each major operating segment. Again, international commentary will focus on pro forma constant-currency growth. First, U.S. advertising; as I noted, Q3 was an outstanding quarter for us. For the fourth quarter, we expect continued strong pricing, continued monetization of digital as we expect further success of our GO apps, slightly offset by lower ratings in the third quarter partially due to the impact of news quarter-to-date leading up to Tuesday's midterm elections, and less tailwind from inventory sold than in previous quarters. All-in, we target 3% to 5% U.S. ad growth, with ratings trends being the primary determinant of where in that range we will be. Second, U.S. affiliate, we still expect fourth quarter growth to be around flat, which, as previously discussed, is largely due to a tough comp on the Scripps side due to their distribution agreement true-up in the fourth quarter of 2017, during which legacy Scripps domestic distribution revenue increased more than 10%. Looking towards next year, we remain confident in our ability to see a significant step-up in our affiliate growth rate in 2019, with growth expected to be comfortably in the mid-single-digit range for the full-year, assuming no major change in current sub trends based on four important factors: number one, our DISH deal, which includes certain nets launching on Sling that will become effective later this year; number two, our recent announcement that we will have networks carried on Hulu Live; and number three, pricing step-ups in our existing deals; number four, clearly, general subscriber trends in the market will be an important driver for our distribution revenue growth, we are assuming no major structural trend change in our 2019 guidance. Before moving on, I would like to give some color around our expanded Hulu partnership. While I cannot comment on specific deal terms, there are some key high-level points that are important. This is a mutually-beneficial deal, where both sides will see incremental value. And I am extremely pleased with the solid economics we received. As I said before, this is one of the main drivers of our expected growth acceleration in 2019. There are many elements of the deal, including additional SVOD hours and an increase in our channels carried to a total of eight Discovery networks in the base package on Hulu with Live TV. We are also pleased that additional networks will be available on the new Hulu with Live TV tier packages later this year. The deal has strong carriage projections, as do all of our deals for our top networks. And, overall, we will see incremental economics next year and remain excited about our ability to drive greater returns from this distribution partnership as Hulu adds additional subs. And now on to International advertising, fourth quarter International advertising is expected to be around flat. Overall, we expect low-single-digit increases in Europe to be offset by slight declines in Latin America and Asia again. Finally, International affiliate, fourth quarter International affiliate is expected to be around flat as we continue to feel the impact from the new ProSieben joint venture, (24:18) which reduces certain revenues and associated costs in Germany, as well, face a tough comp versus the China Mobile deal in the fourth quarter of 2017. And now, I would like to share a quick update on our integration of Scripps. As noted, given our progress to-date, we're extremely confident in our plan to deliver cost synergies of at least $600 million by March of 2020, or two years post-close. And we are starting to really reap these benefits, as evidenced by our mid-single-digit declines in operating costs, both domestically and internationally, this quarter. As we noted last quarter, we continue to make investments in next-generation platforms and new businesses as we pivot our strategy. At the same time, we were able to expand our total company adjusted OIBDA margins by 500 basis points year-over-year, as our transformation is more than absorbing these investments and overall underlying cost inflation. These investments netted approximately $25 million for the quarter, with a reduction of Bundesliga-related costs partially offsetting additional P&L investments across the digital portfolio. However, going forward, over the near term as we ramp up existing and new digital initiatives like Golf TV, we expect to invest around $50 million per quarter in these types of activities. Now, let's look at cost to achieve. In the third quarter, we booked another $224 million of restructuring and other costs, mostly non-cash, bringing our total to $652 million year-to-date. This quarter's charges included an additional reserve for severance and additional content impairments following a full strategic review in both our domestic and international businesses to determine content from each legacy company that will no longer be used going forward, reflective of our content integration strategy. We expect an additional $20 million to $50 million of restructuring and other costs in the fourth quarter for a total of around $675 million to $700 million for the full-year, above our prior estimate of $600 million. Cash costs to achieve will be around $350 million to $450 million, above our prior expectation of $300 million to $400 million. As David mentioned, we remain equally excited by the revenue opportunities and enhanced growth prospects we are just beginning to realize from the combination, and we are extremely pleased with our initial progress. Let me now turn to our outlook for the full year 2018. With stronger-than-expected U.S. ad revenues and with our continued laser focus on controlling costs as our transformation and synergy generation progress faster than planned, I am pleased to raise our full year adjusted OIBDA guidance. We now expect pro forma constant currency adjusted OIBDA growth to be at least 7% versus 2017's pro forma adjusted OIBDA of $4.051 billion, which is above our prior guidance of mid-single digit growth. Please keep in mind that our full year reported adjusted OIBDA will be roughly $250 million lower than pro forma since we are only including Scripps in our reported numbers from March 6 on. Turning to free cash flow, despite the potentially higher cash costs to achieve we continue to target our full year reported free cash flow to be around $2.3 billion. The final result will, of course, depend on currency trends, the timing of the payout of restructuring costs and working capital movements. I remain very pleased with the ability of our company to generate significant free cash flow, as the third quarter performance shows. On taxes, we still expect our full year book tax rate to be in the high-20% range, while our cash tax rate, excluding PPA, is expected to be at or below 20%, with full-year total intangible asset amortization still expected to be around $1.2 billion. We will continue to prioritize the reduction of our leverage. And given our higher adjusted OIBDA expectations, we now expect to delever more rapidly than previously expected. My latest estimate is that net leverage will be around 3.8 to 3.9 times adjusted OIBDA at the end of the year. Before I close, let me quantify the expected foreign exchange impact on our 2018 results. Given the recent strengthening of the dollar, while FX is still a tailwind, the impact on year-over-year results has come down a bit. At current spot rates, FX is now expected to positively impact revenues and adjusted OIBDA by approximately $70 million and $10 million, respectively, versus our 2017 reported results. In closing, we could not be more pleased with our exceptional progress and the strong outlook for the new Discovery. Thank you again for your time this morning. And now, David and I will be happy to answer questions you may have.
Operator: And our first question is from Steven Cahall from RBC. Your line is now open.
Steven Cahall: Thank you. Maybe first just on the subscriber trends, I think for your fully distributed network, you saw a 1% improvement in the quarter. Could you just maybe deconstruct that a little bit for us, as to whether that came from traditional or nontraditional and what that number might look like if we start to think about it pro forma for the DISH Sling add and the Hulu add. And then, Gunnar, maybe just a follow-up on free cash flow, as you increase your cost to achieve in 2018, do you expect there to be a bigger run rate benefit to free cash flow in 2019? Thank you.
Gunnar Wiedenfels: Okay. Good morning, Steven. Yeah, so on the sub trend first, the most important change driver was additional virtual MVPD subs that have helped. And it's important to keep in mind that that obviously is going to be even more of a tailwind for us towards the end of the year and next year as we increase our carriage and the number of networks on Sling and Hulu. On the free cash flow side, yes, that's right. So, we have paid out and we're planning to payout a bit more than originally anticipated in terms of cash costs to achieve. So, if you assume, let's say, take the midpoint of $400 million number for cash costs to achieve, then that number, obviously, goes away in 2019 or at least largely goes away to a very small remaining stuff that might be left, so it should be a significant step-up next year.
David M. Zaslav: On the moving from [down] 3% to [down] 2%, I see that as quite encouraging and we're just getting started. If you look outside the U.S., subscribers are still growing 2% to 3% and here we've had this decline. I've talked about it before. It really is about these over-stuffed $100, $80, you have to carry every broadcast network, every sports network. And there's really been a rejection of this overprice. And it creates an ecosystem that has much more challenges than we should as an industry because we're walking away from many people that would love to have multichannel for a lower price. The thing that's quite interesting in terms of how this gestates is they have to figure out the distributors and they're quite smart. What channels do they carry in these baskets and then how do they price them and then how do they market them. And so, the thing that I think is very encouraging is you have AT&T aggressive. You have Charlie [Ergen] with DISH aggressive; Hulu and Randy [Freer] being very effective; Sony. You just have more and more – Philo – players in this space. And we're starting to quantify how they're doing with each other. And you're starting to see that some are holding back with marketing until they figure out what are the right channels. Some are figuring out who do they market it to, but in almost every market in the world, these skinny bundles have been a really big accelerator of growth with a young generation. And in times when GDP is flat or wages are declining, there's movement to these tiers. And that's one of the things that's held it up for years is that the big distributors don't want someone who's paying $110 to revert down to a $40 or $45 package. But in the long run, every other country effectively, almost every country, has just kind of taken the gulp and moved toward that, and that's what's resulted in the 2% to 3% growth around the world. And we're on the precipice of that now. And as you look at each of these skinny bundles, we do extremely well in terms of not just having our channels carried, but if you do the calculation of the percentage of viewership that we're getting when we have 200 channels and we're getting 25% or 30% of women and people, and then how do we do when we have our top channels carried against 30? It's quite significant. And it will provide I think a lot of upside, and we think we could be the big winners here. So we want to figure out, how do we help these distributors market this? We love the Hulu deal. We're very excited about what Randall [Stephenson] is doing with AT&T Watch and DIRECTV NOW and what's going on in general in this space. And I think over the next year to two years, you're going to see an aggressive push into this space because the distributors are going to get, our currency is going to be how well are you doing, and this will be a big ticket. So we're excited about it.
Steven Cahall: Thanks very much.
Operator: Thank you. Our next question is from Drew Borst from Goldman Sachs. Your line is now open.
Drew Borst: Thank you. David, maybe following up on that last question just a little bit, we've seen the numbers from DIRECTV NOW and Sling, and I think one of the things is there's a pretty material deceleration in the net adds for both of those services. So I was wondering if you guys could add some context, given I understand you have some unique drivers because you're getting picked up by Hulu and Sling, but in terms of this skinny bundle class, these virtuals, I think some investors are concerned that they're slowing pretty quickly and the momentum's being lost. Maybe you could just elaborate a little bit on that.
David M. Zaslav: Well, look, I think we really haven't seen that. And more importantly, as we talk to the distributors, they're talking to us about how do they market this? I think you see an awkwardness in that some of these packages still are carrying too much stuff, and so they're actually losing money when they sell a package for $40 or for $45 or for $35. And it's because they're forced to carry some stuff that they don't want to. And so I think what you're going to see is, one, there will be a drive toward accelerating the growth, even if they maybe aren't making as much money and look for long-term asset value and building the relationship with customers. But two, I think you're going to see some of the channels that are carried on these bundles taken off because when you look at how a lot of those channels are performing and you look at the stuff that was forced in, they're not necessary from a consumer perspective. And so I think we're in this moment where they're not really getting behind them. Do we want to market these right now? Do we want to take off a couple of channels before we do so we have some more margin, or who exactly do we want to go after? DIRECTV NOW for a period of time was doing very well, and I think you've got to look at how they're being marketed. But in the long run, consumers want these. And the industry has already put the stick in the ground and has said, yes, we're going to get behind it. And I think one of the things that's going to be helpful is you guys every quarter taking a look at who's getting what. So I'd say it's too soon to say that it's slowing. I think that we'll probably see in 2019, I believe there will be a very significant acceleration because there's a big demand and there will be some share shift. Who has the better package? Who's cheaper? And in many countries, you see some of these skinny bundles, where it's okay to lose money because you pick up a broadband subscriber and then you have an opportunity over time to offer that consumer more. So all of it works to our benefit. It all works to our benefit. We're in a much different position than we were. And so we're just happy that our content is not that expensive and that we're on these packages.
Drew Borst: Thank you. That's very helpful. And then just one follow-up maybe for Gunnar, with the restructuring charges are coming in a little bit higher this year than you first expected, I was wondering if you might be able to provide a little bit of an update on the cost synergy side. Are those also pacing ahead? I don't know if you have sort of a new update on that number. Thank you.
Gunnar Wiedenfels: Yeah, Drew. So we're certainly ahead of plan. Things are moving in the right direction faster than originally planned. Just one thing to keep in mind on the restructuring charges, if you look at the type of charges, there are some content impairment numbers in there, which, obviously, are very difficult to anticipate or estimate upfront. And so, what we've done is the teams have taken a look at the entire content portfolio and realigned programming strategies for the networks and identified stuff that we won't be using anymore going forward that we won't be acquiring anymore, because we have so much more content now, so that explains most of the slightly higher number. And then, on the cash side, in terms of the timing, we're just a bit ahead of plan. But all-in-all, I feel very good about the synergy number. I don't want to raise the number right now. We've said before that we look at the $600 million-plus as after reinvestment. And as I said a bit earlier, we continue to invest in our digital portfolio, so we feel very good about it. We're ahead of plan, and we'll see that margin momentum continue.
Drew Borst: Great. Thank you.
Operator: Thank you. Our next question is from Jessica Reif Cohen (sic) [Ehrlich] (38:47) from Bank of America Merrill Lynch. Your line is now open.
Jessica Reif Ehrlich: Thanks. There was a name change, but that's okay. David, on the streaming Golf channel, can you talk a little bit, give us a little more color on what the incremental costs are to create this direct-to-consumer platform? You said you'll launch, I think you said, over a number of years so just color on that. And is there any ripple effect on other parts of your business? Is there any other benefit that you would see?
David M. Zaslav: Sure. Thanks, Jessica, and congratulations on the wedding and...
Jessica Reif Ehrlich: Thank you so much.
David M. Zaslav: I know it's Ehrlich now. And he's a good man.
Jessica Reif Ehrlich: Thank you.
David M. Zaslav: Okay. Look, I think that Golf TV reflects this idea of who we are and a little bit of a misunderstanding of who we are. We're not just a linear TV company. And when we came together with Scripps, there was this narrative, oh, it's two companies that are just linear television. We bought Scripps because the IP that they own around food, home, travel, cooking, they own that content globally, everywhere in the world and we look at food and we say everybody wakes up every day and at some point they say what's for breakfast, what's for lunch and what's for dinner. You can say that about very little IP, and so the opportunity against food, home, all of that IP is the way we see our company and so that's why we got into sports in Europe. And it's one of the reasons why, for all the sports we have in Europe, we own those rights on every platform. We haven't fully monetized it yet, because we're way IP long. On the Olympics, we think we're going to do a lot better job in monetizing it coming up in Tokyo. And in terms of the tennis and the cycling, we'll continue to do a better job. But if you go to Europe now, you don't see it on every mobile player. You don't see deals being cut with some of the big FANG companies. It's because we have all that IP and we're waiting. The exciting thing about Golf TV is we're above the globe. And you look at the companies that are creating huge shareholder value. Cable was the franchise and then you get the whole state, you get a region, but then you compare that to the FANG companies that are above the globe. And with Golf TV, we are above the globe. And so, the ability to be in partnership with Jay Monahan and the PGA Tour and take all of those personalities, more than 50% from around the world, two are the top players from China, and step up above the globe and say here's a golf ecosystem where you could read about golf, buy product and look at all of this tour content live on any device, and us to be in control of the full ecosystem. How much do we put on broadcast? Do we start a golf channel in a particular market? How much do we offer? When do we offer it? And we have a lot of exciting things that we'll be announcing. We'll start on January 1. The way it works is by 2022, we'll have the entire globe. But on January 1, we have Japan, Russia, Italy, Belgium, Canada, Spain, Turkey and more, but there were some existing deals for the PGA that roll off. But when they do roll off, we have the full rights across every platform. So, if you see a mobile player carrying it, if you see a deal with one of the FANG companies, if see a deal with like what we did with J:COM; with J:COM right now, there's tremendous growth with golf. And we were able to structure a deal where very favorable, better than we expected on the PGA Tour content itself. On top of that, we're going to be promoting and cross-promoting each other. In addition to that, we structured our overall deal for all of our channels in Japan. And we come out with a net positive. We're owning this great IP that's highly in demand and we retained all of the rights over-the-top. And so it's great local assets that the PGA Tour brings, and we think we could even enhance that. We are investing in it, and you'll be seeing some announcements over the next couple of weeks with some very exciting stuff because we're serious about this. We look at the demo. There's 3 billion people in China, two of the top players on the Tour are there, and we control all of it. And so we look at Asia as a big growth engine, but we look at this idea of above the globe and then you take a FANG company and they say, I like this. You've got scripted and movies, and you've got 10 of those services. What do you guys have? Oh, we've got golf above the globe. We can do something together with golf everywhere in the world. In the next couple of weeks, you'll be hearing a lot more from us on this, but it reflects who we are. We're a global IP company.
Gunnar Wiedenfels: And, Jessica, maybe to add on the financial impact, as we've said before, it's going to be loss making initially, no question about it. But given the structure that David laid out with seven markets coming online in 2019 and then the staggered roll-out around the globe over the next couple of years, it's going to be a very small number hitting our P&L. And as I said before, we're at a run rate of about $50 million in P&L investments in those digital products on a quarter-by-quarter basis, and that covers these investments as well. So it's very digestible, and you can see we've been investing at that pace now for two quarters. And only two quarters after closing the deal, we're already looking at 500 basis points margin expansion, despite those investments. So I feel very good about our ability to digest that.
Jessica Reif Ehrlich: Thank you.
David M. Zaslav: And when you think about the superfan IP company, this whole idea really driven by [John] Malone five years ago, saying, what do we have that people will watch when they could watch anything? And what do we have that people will pay for before they'll pay for dinner? And so whether it's cycling in Europe, whether it's the Olympics, tennis, here golf everywhere in the world, Oprah, food, home, science, natural history, we really like this idea that we are not on the scripted and movie side and we own all this IP. And we can take it up to the FANG companies. We can take it to the regional guys. And we can take it ourselves directly in an aggregate package or individually, like we're doing with golf.
Jessica Reif Ehrlich: Great. That was an incredible answer, but I just have one last follow-up. You guys had a very, very strong U.S. advertising number underlying like 8% for Discovery. Can you give us some clarity on what's going on with the other pieces that brought your advertising revenue reported to 5%?
Gunnar Wiedenfels: Yeah, Jessica, so as you say, pro forma was 5%. And if you decompose that into the individual parts, underlying Discovery was 8%, and then the delta between pro forma and the Discovery stand-alone is Scripps Networks, Motor Trend/Velocity and OWN. And the legacy Scripps portfolio was also very strong at 5%. And then as you might have seen, we had some ratings-driven weakness on OWN. It's singled out here as one of the pro forma adjustments. But it's just one network out of 18, and that's the benefit of having this broad portfolio that we can manage those kind of share swings. And then, Motor Trend OnDemand was down slightly as well in their display advertising as we reposition the product towards a subscription product rather than a, let's say, desktop ad-driven product now.
Jessica Reif Ehrlich: Thank you.
Operator: Thank you. Our next question is from Ben Swinburne from Morgan Stanley. Your line is now open.
Benjamin Daniel Swinburne: Thanks. Good morning. David or Gunnar, I'm curious, when you think about Discovery GO, I know it contributes to your advertising revenue, but as a technology platform and set of data potentially analytics, what are you doing with that or what can you do with that insight into driving better monetization across linear, maybe better marketing, smarter programming decisions? Is that a tool that you think you can use to sort of have a broader impact on the business, given it's a scaled data set of real-time viewing that you haven't had in your traditional business where you've been a wholesaler?
David M. Zaslav: Thanks, Ben. I think the first most important part about GO – and if you haven't gotten on it, you should play with it; it's the authenticated apps that we now have for each of our channels – is it tests a simple question. Because of the skinny bundle issue here in the U.S., there are a lot of younger people that aren't watching TV or just generationally they're not watching a TV in a living room. How appealing is our content to that generation? And when we look at the scale of young demo that's spending time with our GO apps on TLC, ID, HG, Discovery, it's pretty compelling. And we're doing original content for the GO apps. I think we're further ahead by a lot than anybody else. And I think it makes sense, because we have channels that people love. There's sort of three baskets of channels, four. There's sports. There's news and then there's the broad channels that people go to for a scripted show that they love, but the brand doesn't mean that much to them. And then there's us, these quality brands that people love. And it has been a big growth engine for us. We spent two hours in a meeting with Karen Leever and her whole team the other day. We're talking about what else can we do to drive more people to become aware of it. Because when the fans of TLC and ID or HG authenticate in, they're spending a huge amount of time, we're getting a big premium on the CPM, and it is affirming to us that we have IP that people love. And then, we can see exactly what they're watching. What are they watching, how much time are they spending. And so, it's helpful on the data side, but it's also helpful to us as we produce content for them for these apps and we start to pick up a better sense of exactly what this younger demo that's spending less time on TV is doing. And you see that growth in our numbers. Part of that 5 is that these GO apps, they're starting to generate real significant value for us and will continue.
Benjamin Daniel Swinburne: That makes sense. That's very helpful. And if I could just ask one follow up on your DISH agreement. I know you don't want to talk specifically about a single deal, but Charlie [Ergen] yesterday alluded to some more stuff in that partnership that's coming. In the skinny or traditional world, maybe you could just talk about the kind of innovations around packaging or distribution that a platform like DISH and a company like Discovery might have come into market, because it seems like there's more in that deal than maybe what we're aware of so far.
David M. Zaslav: Well, first, there are a lot of elements to every deal, but Charlie is very creative and clever. He was the first player to emerge with Spanish-only content and he created a huge amount of asset value. He's very entrepreneurial. And he takes a look at us and he says okay, we got a regular deal, which was I think very favorable for both of us. He took a look at what's going on with Sling and said you know what, you have really good content that'll help me get this thing growing and having your services, as he said yesterday, will help the overall value package of Sling and make Sling a lot more competitive. And not having our stuff was probably a bit of a challenge, because we have three or four of the top channels, three of the top channels for women, the top channel for men, top channel for African-American women, and so we're hoping that that's going to be helpful to Charlie. But the other kind of things are things that Charlie and I talk about all the time, which is, hey, that we have more IP than anyone else and we have loads of IP in different languages. So, if there's a huge population, let's say, in Chicago of people that have emigrated from Poland over the years and speak Polish. We're the leading player in Poland. We can take all that content in and that can be offered on a satellite right in, in ways that could be very potentially compelling for Charlie, compelling for us, if there's a big Italian population. So, I think when you take a look at our company and you take a look at somebody that's as creative and strategic as Charlie, we do our traditional deal. And he says you're the leader in global pay-TV and you own everything. What else do you have that might be interesting? And so, we're having some conversations about some things that we have that might be interesting to him.
Benjamin Daniel Swinburne: That's really helpful. Thanks, David.
Operator: Thank you. Our next question is from Alexia Quadrani from JPMorgan. Your line is now open.
Alexia S. Quadrani: Thank you. I had a question on the outlook for your networks. Specifically, we've seen such strong performance at TLC. I wonder if it's mainly the 90 Day Fiancé or if there are other popular shows behind that. Just trying to get a sense of how that strength can continue. And any color you might give on the recent sort of weakness we've seen at the flagship Discovery Channel. And lastly, I guess any more further color you could give on the domestic advertising market, looks like it's really strong. Maybe you could give some color around scatter. Thank you.
David M. Zaslav: Sure. Well, look, TLC is quite strong pretty much across the board, but 90 Day Fiancé is really like – it reminds me of Housewives when I was at NBC with the NBC Cable Group. It's not one show. It's multiple shows. It runs for most of the year. It continues to grow. It also is working for us globally, but on Sunday night, it's massive numbers. And it has huge social energy around it and we think that that's sustainable. But the rest of the network is strong and it's also a network that caters to suburban and Middle America in a way that I think is pretty unique, but a lot of our channels are doing very, very well right now. ID is doing great. Henry Schleiff and Kathleen Finch have been digging in on Travel and Travel is way up. HG has turned around. And so we are in a business of a portfolio. Having said that, October was a little bit of a challenge, one, in terms of some premiers on Discovery. We got a great show coming up that launches in early December, BORDER LIVE, that we're optimistic about. We think it's quite exciting. But we have an inherent significant advantage and it's our job to take advantage of it. Broadcast has been declining at 8%, 9%, 10% for the past several years. It's unlikely that that's going to change. The broad cable networks, broad entertainment cable networks, have a very competitive environment with Netflix and Amazon and HBO. And it's a tougher game. And they're very committed to reruns of content. And those networks people tune into for series, scripted series, and then you have the quality niche networks. And so we were up 1% in the last quarter when everyone else was down 8% or 9%. Are we going to be up 1% all the time? No. But we shouldn't be declining at 9%. We have great brands that people love that they're spending more time with. When we looked a quarter ago and Brian [Roberts] and NBCUniversal was the number one reach in TV and they were at about 17%, we were at 13%. A quarter later, we're at 15% of viewership and Disney and some of the other major companies are flat to down. And so our game is can we grow? But even if we can't grow, if we could be down 1%, down 2% while everyone else is down 6%, 7%, or 8%, then our aggregate share of television is going to continue to grow. And we got to get the word out because very few people recognize that we're the number two TV company in America. And we think we could take share.
Gunnar Wiedenfels: And to your point on scatter, the scatter market trends have been consistent over the past couple of quarters. Pricing is up high teens versus upfront and high-single to low-double versus prior year and it's a pretty consistent pattern over the past couple of quarters.
Alexia S. Quadrani: Thank you.
Operator: Thank you. Our next question is from Todd Juenger from Sanford Bernstein. Your line is now open.
Todd Michael Juenger: Oh, hi. Thanks very much for taking the question. Two, both related to sports, if you don't mind. So one, starting in Europe, I just would love to hear just your latest thinking on just reconciling all the investments you've made behind Eurosport and amassing sports rights across the continent. And then just comparing that to sort of the affiliate fee and advertising growth rates we're seeing in your International segment, which coming in sort of low-singles now. How do you put those two things together and think about the return on all those investments you've made. Is it, obviously, I guess, still to come and how do you think about the pacing of seeing the return on that? And the other one, very simply, is in the States, just wondering, it looks like the old Fox regional sports networks are probably going to be on the market soon and wondering if you have any interest in taking a look and maybe making a bid for them. Thanks.
David M. Zaslav: Let me start with the return. When you see a bid for Sky and that asset trading at 17 times where they have a big business in the UK and a business in Germany and Italy, and we have a broad business. We're making over $1 billion this year. And next year, we will be making a lot more than that outside the U.S. with a huge business across Europe. But also, the fact that we're the leader in sports, two to three sports channels in every country. And the return also has to do with the overall asset value. Can you aggregate the type of IP that we have across all of Europe, not just the Olympics, cycling, tennis, that we were able to buy. And we bought it good in terms of low-single digit to aggregate it and we're getting smarter about how we do it. The channels are doing well. It's helped our overall packaging. A lot of people have gotten reduced. Take a look at the other players in media, down 5%, down 10%, down 15%. We've been able to grow our affiliate line. And, in some cases, we make different decisions about how we move IP. I think you'll see over the next couple of years, a real acceleration, because we're not selling that IP yet to Tim [Höttges] at Deutsche Telekom and to Vodafone and to Telenor, or to Apple or to Facebook. And they're in the business of wanting sports and we have very valuable long-term sports, but you couldn't reaggregate it. If somebody said I'd like to be the leader in sports in Europe, I'd like channels, I'd like to own IP content that could reach across affinity groups to 750 million people, you simply couldn't do it. And so, for us, I think it remains very valuable. And I think you'll see as we're able to sell it to other platforms like the NFL get sold to Verizon. You see more and more. You see T-Mobile offering content in order to de-commoditize their platform. When platform companies want to de-commoditize, there's big opportunity. And we think that Brian [Roberts] can be a meaningful opportunity. Sky now is a very strong platform. He was over yesterday in the UK talking about driving Sky. And when they're looking for what can they put on Sky now across all of Europe, we're one of the major players in every single market that could give them local IP and local sports. And we'll make that decision as to what works, but I think there's a lot that we can do with Sky, with the mobile players and there's a lot of opportunity. On the regional sports, we've said we like outside the U.S. We like our European position as a leader, but we think we're late here. Those businesses can be dicey. I was involved in those businesses with Bob Wright and Chuck Dolan in the early days. And they really have to do with how long you own that IP for, and I think in many cases they were at the top of the heap in terms of what they were able to generate. So, I think unless it was a great deal, you wouldn't see us in there.
Todd Michael Juenger: Thank you.
Gunnar Wiedenfels: Todd, let me just add one more point on the ROI question, because, I mean, two things to keep in mind. Number one is if you now look at low-single-digit growth, that's against a significantly-elevated level, which was absolutely driven by those sports rights. And number two is those investments, yes, obviously, there was a lot of investment going into these sports rights, but at the same time as you see this quarter, we've been able to increase margins in International by 600 basis points. So, I mean, all in all, we're in pretty good shape there. And just to qualify the outlook slightly, as we said before, in the fourth quarter, again, there is going to be a negative impact of the Bundesliga Germany deal, which, again, would have added some growth if we still had it on the books directly. Obviously, in the long run, we expect that kind of OTT structure to significantly contribute to our growth, again, and also we did have a pretty strong Q4 2017, with a large chunk of the China Mobile deal hitting our numbers. So, that's important to keep in mind as a comparative for the outlook for Q4.
Todd Michael Juenger: Thanks. Thank you, Gunnar. Thanks for that. That's great, appreciate the extra color there and, David, as well. Thank you both.
David M. Zaslav: Thanks, Todd.
Operator: Thank you. Our next question is from Vijay Jayant from Evercore ISI. Your line is now open.
Vijay Jayant: Thanks. I just wanted to follow up more on your comments on the Golf TV proposition. From what I understand, the PGA rights you have do not include the majors. And, obviously, is there an attempt now as you try and create this comprehensive offering to buy rights for majors, the Ryder Cup and European Cup and so forth to really make it more comprehensive for the product? And second, just to size, you call out the GO products as being a driver of growth. Any sense that you can share how big those businesses are in aggregate and how fast they're growing? Thank you.
David M. Zaslav: Thanks a lot. The attractiveness of Golf TV for us is driven by being in this business of direct-to-consumer for the last five years, and a lot of what we thought was going to work didn't work. A lot of things were harder than we thought. Some things surprised us as being really loved and attractive to users. But one of the elements is how much live IP can I watch, how often? So the idea that we have 48 weeks of content, we have the Asian PGA Tour, we have the Latin America PGA Tour, we have the PGA Tour itself, which is the premier tour everywhere in the world, we have the Senior PGA Tour, we have the Web.com Tour, and we're in discussions to add to that. But to start with, from Thursday through Sunday, we have an enormous amount of great IP, in most cases in time zone, and because of the fact that we made this announcement and the fact that Jay [Monahan] and I kind of went on a little bit of a tour on how important this is and the commitment that the PGA Tour has to this, there have been a number of people that have raised their hand at organizations that have said, I want to be part of this. And so with 48 or 49 weeks of great, great content, do we need to have every major? Eventually I think we will. They'll want to be on our platform. We're building a full-on ecosystem. In the old days, you would wait for once a month if you loved golf for your two golf magazines to come, and then you'd read it under the covers. Well, now you can read it under the covers, but you can read it under the covers on your phone, and you're going to be reading about the players. You can buy what you want. There's all kinds of instructional video. So we think this full-on ecosystem will be quite compelling. It's the vision that Jay and I have together. And when we're talking to the players on the PGA Tour, they all want to be part of this because they think for all of them, it's like this is exactly what I would have wanted when I was growing up, and won't this make the Tour more compelling? And so if you look at that, and then you say you're a major and you're going to be one weekend for four days, do you want to try and reach golf fans everywhere in the world for that one weekend, or do you want to come on our bus that's circulating above the globe? So we think we have a very good hand there. And we will be making some announcements, some exciting announcements. But the big investment in this, we think, is behind us because we think we've got the premier content. On the GO, Gunnar?
Gunnar Wiedenfels: Yeah, well, look, I mean, we've talked about this before. GO is extremely valuable for us. We're seeing tremendous growth on the streams. It's the type of inventory that we can sell at a premium. We've got dynamic ad insertion across most of the inventory, which allows us to better target audiences. So we're getting much better effective CPMs compared to the linear TV. There's a lot of demand for this type of content, long-form premium video, safe environment. So we've been getting a lot of interest for this. We've seen significant contributions to our growth. We're not sort of singling out a GO percentage or so because those deals are coming together. Advertisers are buying across the entire portfolio and across platforms, but it's been very meaningful. And we're very happy with the growth. And, as David said, we've only just started.
David M. Zaslav: The last point on Golf TV, because I think this isn't about Golf TV, this is about a global platform above the globe in 52 languages. There's no other company that can do that and there's no other company that has between 10 and 12 channels in every country letting people know about it. And if we can do this, and we believe that we can, and we've got Jay and the PGA Tour with us and we've got all the players with us. If we can do this, then we will have established a global platform. Global platform, you've got Netflix is a global platform, Apple has a global platform. We have a global platform which we'll be promoting to with all of our linear channels. But on top of that, if you're a federation with a sport, if you're badminton, if you're ping-pong, and you want to go above the globe, where do you go? So we think we're building something that if we could find the right recipe here, both from an infrastructure and technology perspective as well as an understanding of what nourishes an audience, which the magazine business went through for years. They had to figure out how do we create a magazine that people love and pay for every month? We've been at this for 4.5 years. We don't have the answers, but we think that this above the globe superfan business, and it's not just sport, then we can start to slot in all of our stuff. So you'll hear on us Golf TV, but you'll feel our enthusiasm because we think this above the globe concept with IP, it really reflects who we are as a global IP company.
Vijay Jayant: Thank you so much.
Operator: Thank you. Our last question will be from Michael Nathanson from MoffettNathanson. Your line is now open.
Michael Brian Nathanson: Thank you. Two questions, one for David and one for Gunnar, following on the now you're above the globe idea...
David M. Zaslav: Before your question.
Michael Brian Nathanson: Yes, David.
David M. Zaslav: I'm going to call you Nathanson until you put a buy rating on our stock, okay?
Michael Brian Nathanson: Thank you.
David M. Zaslav: Nathanson.
Michael Brian Nathanson: I married a Nathanson so that's my new name. Just want you to know that. And she's a lovely person. So here's the deal. Above the globe idea, you talked about just now some niche sports. I wonder, do you think the next set of global sports rights, NFL, Olympics, will be above the globe? Like do you see eventually five, seven years from now, the bidding going on a above the globe pace for some of these bigger contracts? Then I have one for Gunnar.
David M. Zaslav: Yes. Disney can go above the globe with their kids' content, but we're one of the few companies that really see ourselves that way. And we actually have the ability with all of our content, we're paying the piper. We, as a company, have made the decision that we're going to go IP long to get above the globe. And this strategy in Europe is very similar. 750 million people is an awful lot, but we are looking for content that is globally appealing. So the great thing about golf is they love it everywhere. The great thing about cycling is it has great appeal broadly. The great thing about tennis is it has great appeal broadly. There are a lot of other sports that are more local and you can get expats that love that content, but it isn't the same. And so for us, are we interested in that once we build a platform in helping to support that? Maybe. But the bigger game, I think, are these global sports. How do you aggregate everybody that loves curling? How do you aggregate everybody that loves ping-pong? How do you aggregate everybody that loves badminton? It may seem small, but in the end, maybe our platform becomes an exchange for that. And we're not paying for it at all because we built the best global engine with the best promotion vehicle on the ground. That's the hope. It's going to take a long time, but that's how we've structured our company, above the globe.
Michael Brian Nathanson: Okay. Thank you, David. And then one quick one for Gunnar, last one is just can you help me quantify what the Bundesliga deconsolidation was on the expense growth and how do you think about the scaling and the speed at which you get cost out of International? Because I think it takes longer. So what was it ex-Bundesliga and what is your outlook for the speed of cost saves into next year?
Gunnar Wiedenfels: Yes. So, Michael, for the Bundesliga, it was about a $20 million impact. So you could assume for the third quarter a 20% profit growth, if we factor out the fact that we got rid of the Bundesliga cost base, instead of the 27%. In terms of our speed at which we can save costs, I don't think I agree with your assumption. Actually, we've been very happy with the speed at which we're taking out costs internationally. As you can see by the significant OIBDA improvement, 27% up in the third quarter and it's very much cost-driven and again, needs to be interpreted against the backdrop of additional digital investments that we've made. So I think the speed at which JB and the team have integrated Scripps is actually quite impressive, from my perspective. And we certainly do continue to see significant cost reductions and associated margin expansion over the next couple of quarters.
Michael Brian Nathanson: Okay. Thanks.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.